Operator: Good afternoon. My name is Alea, and I will be your conference operator today. At this time, I would like to welcome everyone to the Fiscal 2014 Third Quarter Earnings Conference Call. [Operator Instructions] I would like to now turn the call over to your host, Mr. Colby Brown. Sir, you may begin.
Colby R. Brown: Thank you, Alea. Good afternoon, everyone, and thank you for joining us to discuss our fiscal 2014 third quarter results. Joining me on the call today are Bill Cobb, our President and CEO; and Greg Macfarlane, our CFO. Jason Houseworth, President, Global Digital and Product Management, will be available during the Q&A session. In connection with this call, we have posted today's press release on the Investor Relations website at hrblock.com. Some of the figures that we'll discuss today are presented on a non-GAAP basis. We reconcile the comparable GAAP and non-GAAP figures and the schedules attached to our press release. Before we begin our prepared remarks, I'd like to remind everyone that this call will include forward-looking statements as defined under our securities -- under the securities laws. Such statements are based on current information and management's expectations as of this date and are not guarantees of future performance. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict. As a result, our actual outcomes and results could differ materially. You can learn more about these risks in our Form 10-K for fiscal 2013 and our other SEC filings. H&R Block undertakes no obligation to publicly update these risk factors or forward-looking statements. With that, I'll now turn the call over to Bill.
William C. Cobb: Thanks, Colby, and good afternoon, everyone. Earlier today, we released our U.S. tax return volume through February 28, as well as our fiscal 2014 third quarter results. As you may know, we had 1 day of return filings included in our results, and expected that we see a timing variance between the third and fourth quarters. We had a significant amount of returns pending at January 31, and you'll notice a much larger shift of revenues into the fourth quarter compared to last year. In total, approximately $277 million of revenue shifted to our fiscal fourth quarter this year, representing completed returns that had not yet been e-filed with the IRS by January 31. When taking this revenue shift into account, you will find that our revenues in the U.S. were essentially flat to the third quarter last year despite a decrease in returns prepared. Greg will offer more details of the third quarter financial results later during the call. With respect to the tax season, there's obviously been a lot of early noise in the market, so I'd like to provide a few key points about the industry and our performance so far this year. First, for the second consecutive tax season, we've seen some unusual movement in the industry during the early part of the season, making initial year-over-year comparisons very challenging. Most notably, IRS data has indicated that the industry has experienced an early shift in the mix of assisted and DIY e-filed returns. During the first half of the season, however, the proportion of DIY filers typically is higher than in the second half of the season due to the fact that DIY returns are generally less complex. Additionally, as we mentioned at our Investor Day, we also believe that there's a real secular shift underway with Earned Income filers who also typically file their returns earlier in the year. Heading into this season, we've seen a trend in which returns containing the Earned Income Credit are increasingly being filed digitally. In fact, without this shift in EIC tax filers over the last 5 years, the overall proportion of DIY returns in the industry would have declined. And though the data is not segmented by filing channel, the IRS estimated in 2012 that there were between $12 billion and $14 billion in improperly issued Earned Income Credit payments. Increased standards have been put in place to address these improper payments in the assisted channel only. If asking additional questions is a way to help reduce improper EIC payments, it makes sense that across all channels, all EIC filers, whether assisted or DIY, should have to answer the same questions. Thus, without significant changes in standards for filing DIY returns for these credits, we believe that similar shifts may continue to impact the mix of assisted to DIY filers, particularly in the early part of each tax season. That said, we have seen this mix moderate over the last few weeks. And despite the unusual movements in the early season, recent IRS data has shown that total filings are now in line with our overall expectations for the year. The IRS just released data earlier today showing industry filings through February 28 up 1.4% over the prior year. Additionally, the data shows a continued and expected moderation in the assisted-DIY split from earlier reports. Therefore, we continue to expect total U.S. filing growth in the industry of 0% to 1%, and believe that for the full year, the proportion of filers who choose assistance versus those who do it themselves will remain relatively consistent with past seasons. The second point I'd like to make is that we are executing very well against our objectives. You'll recall from our Investor Day in December that we detailed our multi-year Tax Plus strategy. This strategy is centered on driving higher revenues and profits through a balance of improved return mix and increased product attachment. To enable this strategy, we talked about investing in our offices to enhance the client experience and revamping our digital product to create a simplified and integrated user interface. We also introduced new product features to provide greater value to our clients and incented our tax professionals to promote the benefits of our Tax Plus products. We entered this season with a deliberate and thoughtful plan to achieve this Tax Plus objective, and we are executing on this plan. We are smarter in our approach to the market and it's showing in our results. Most notably, we discontinued our Free EZ promotion in virtually all markets, which will result in an increase in revenues for the year. We enhanced our digital offerings, tailoring the product to each client and making it simpler to use. By better anticipating our clients' needs and matching them with the most appropriate product, we are seeing improved conversion and a substantial increase in product upgrades. On the Tax Plus side, we've improved monetization through our financial services products with attached rates on Emerald Cards, refund transfers and peace of mind up across the board. We also continue to see improved users -- usage metrics in our Emerald Card with average deposit and reloader rates higher through the end of February compared to the prior year. And the Emerald Card continues to receive accolades. It was recently named by Paybefore, the leading information provider for the prepaid industry, as winner of their Top of Wallet and Best in Category awards as the best everyday use card with the most features and lowest cost structure. Finally, from a marketing perspective, I'm thrilled with our campaign this year, which has served as a reminder that taxes are complex and millions of Americans leave money on the table each year by not seeking professional assistance. Taxes are more complex than ever, and with the Affordable Care Act presenting the most significant change to the tax code in the past 20 years, filing taxes will not get any easier. In fact, we conducted a study last year that found that tax returns from nearly half of Americans who did it themselves contained inaccuracies. And for those who left money on the table, the additional amount owed to them was well over $1 billion. Our simple message of, Get Your Billion Back America, serves as a reminder that H&R Block is here to help. Based on market research, we know that our ads are resonating, as 75% of Americans are familiar with the campaign slogan, and for those that are familiar, 90% associate it with H&R Block. These results far exceeded our expectations in industry norms, and as a former marketer, I can tell you that these results are fabulous. Put simply, we are serving an improved mix of clients this year and improving how we serve them. Of course, we anticipated that our strategy, which focuses our resources on generating revenue growth would create some headwinds from a return count and market share perspective. In particular, these decisions have an impact on our early season volume results. However, this was a volume on which we made little or negative profit in prior years. This has also freed capacity in our tax offices, allowing us to better serve our clients, leading to improved Net Promoter Scores this season. In assisted, our decision to eliminate Free EZ in virtually all markets disproportionally impacts the first half of the season. It is also expected to impact our client counts for the year. But we expect revenue from our EZ clients to increase more than offsetting the impact from lower return counts. Similarly in digital, we made certain changes that required some of our more complex filers who are filing for free in previous years to upgrade to a paid product. Some of these clients have opted to use our competitors free or heavily discounted offerings. It simply does not make sense for us to focus our resources in areas in which we do not generate profits. As a result, through February, total U.S. returns prepared by and through H&R Block were down 5.9% with assisted returns down 9%, slightly offset by a 1% increase in digital returns. While it's too soon to speculate exactly where we'll land in terms of returns or share this year, we do expect that the actions taken this season will impact our overall client counts and will likely reduce our return share in both assisted and digital. It's important to note, however, that this attrition is coming from returns that are prepared at little or negative profit. The net result of these factors is that we're achieving exactly what we set out to do, driving higher revenue and earnings by focusing on improving our service through an improved mix of clients and increasing the rate at which those clients take our best-in-class financial services products. Finally, I'd like to discuss a topic that is extremely important to the industry and our country: fraud in the tax system. We believe the industry should be actively engaged in addressing this growing challenge and we are doing our part to contribute to the effort. We will host an event in Washington, D.C. on March 25 to stimulate conversation on this challenge among policy makers, influencers and other stakeholders. When we last spoke to you at our Investor Day, we noted 2 specific short-term opportunities for improving fraud prevention. Applying the eligibility questions asked of our earned income credit filers in the assisted channel to those filing in the DIY channel, and IRS oversight and regulation of tax preparers and software developers. I talked earlier to the earned income credit filers and the need for consistent standards between DIY and assisted EIC returns. So I'd now like to mention a few thoughts on the IRS oversight and regulation issue. Last month, the U.S. Court of Appeals for the District of Columbia Circuit ruled that the IRS does not have authority under current law to regulate tax preparers. This, despite the fact that it was Congress who issued a mandate requiring the IRS to implement such standards. With an ever-increasing rise in tax fraud, this ruling represents a loss for honest taxpayers. In a country where all 50 states regulate the way you get your haircut, it's hard to understand why all consumers don't receive basic protections on what, for many, is their most significant financial transaction of the year, filing their taxes. Now earlier this week, New York Governor Andrew Cuomo announced a comprehensive set of regulations that will better protect consumers who hired tax preparers in the State of New York. While this is a positive step forward, millions of consumers throughout the U.S. still do not enjoy these basic protections. Thus, we will continue to vigorously support efforts to better serve and protect consumers through minimum standards for and the oversight of all tax preparation. While we will continue to work with states that are considering regulating tax preparation, we look forward to working with Congress and the Treasury Department on any legislation that may be necessary to implement minimum federal standards, and we expect there to be a short-term effort to create a voluntary system for credentialing. We welcome the opportunity to work with the IRS in this interim step to set the standards and begin to get -- and begin to better protect consumers and prevent fraud. So in conclusion, we're executing against our plans and are on track to achieve our primary objectives in growing both revenues and earnings this year. However, there is plenty of tax season ahead, and we have a lot of work to do between now and April 15. We expect it will take the balance of the season for the industry to normalize to expected levels, but we're well positioned to serve our clients in the second half and to drive improved top and bottom line results. We look forward to sharing our second half tax results with you in late April. With that, I'll now turn the call over to Greg to discuss details of our third quarter financial results.
Gregory J. Macfarlane: Thank you, Bill, and good afternoon, everyone. Given the seasonality of our business and the fact that significant majority of our revenue and earnings come in the fourth quarter, our third quarter results generally are not indicative of the results we expect to achieve for the full year. This was especially true as we experience a delay to the start of the tax season for a second consecutive year with the IRS opening its e-file system on January 31. As this was the last day of our fiscal quarter, it led to a material shift of revenues from our third quarter to our fourth quarter. Thus, for the fiscal third quarter, total revenues decreased to $200 million. For accounting purposes, we recognize the revenue from a completed tax return once the return has been e-filed with the IRS. As a result of completed tax returns yet to be e-filed with the IRS at the end of January, approximately $277 million of revenue shifted from the third quarter to the fourth quarter. This shift was approximately $260 million more than the shift we experienced last year. Thus, third quarter revenues in the U.S. would have essentially been flat when taking the shift into account despite lower return volume. In international markets, revenues were lower by approximately $11 million due to timing differences in our Australian operations. This overall decrease in revenues was partially offset by lower operating costs. In total, our third quarter adjusted net loss from continuing operations was $209 million or $0.77 per share compared to $57 million or $0.21 per share in the prior year. For the full fiscal year, we continue to target adjusted EBITDA margin of approximately 30%, consistent with fiscal 2013. As we look at our overall financial position, our balance sheet and liquidity remain strong. As of January 31, total unrestricted cash was $437 million and total outstanding debt was $1.1 billion. Reductions in cash from the prior quarter reflect our normal operating cash requirements. Additionally, all outstanding commercial paper at January 31 was paid off in February. Finally, our third quarter effective tax rate was 38.8%. As we discussed in our Investor Day, we continue to focus on lowering our effective tax rate. As a reminder, however, due to significant one-time tax benefit received last year, we expect our effective tax rate in 2014 to more closely approximate pre-2013 levels. Turning to discontinued operations which include results of Sand Canyon, our fiscal third quarter net loss of $2 million was $1 million higher than the prior year. Sand Canyon continue to engage in settlement discussions with the counterparties from which it has received a significant majority of its asserted claims. Sand Canyon's accrual for contingent losses relating to reps and warrants remained unchanged at $159 million. Turning to H&R Block Bank, I realized that many of you are interested in an update as we continue to explore strategic alternatives. All I can say at this point is that we're pleased by the progress we've made over the past couple of months and continue to expect to have a transaction completed in time for the next tax season. We will continue to provide updates as we make progress. One final housekeeping note before we turn it over for Q&A. This quarter, we've updated our reporting methodology for digital returns to be based primarily on accepted e-files. We believe this methodology is a more appropriate way to measure our performance, enhances comparability within the industry and also eliminates, from our counts, certain returns that could potentially be fraudulent. This change reinforces our position on fraud and is another example of our commitment to do the right thing. It's important to note that this is a one-time change and it does not impact how we view our share growth overall in the digital category over the last few years. We have included a table in our press release with historical return counts which reflects our updated reporting methodology. I know we've covered a lot in today's call. So with that, we're now ready for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Thomas Allen.
Thomas Allen - Morgan Stanley, Research Division: So just doing some math here. According to your press release, the assisted volumes through the end of the fiscal third quarter were down 10% and you said revenues were flattish. So should we read into that, that pricing is up around 10%? And then, kind of going a step further, in the press release it says that revenues in fiscal '14 have been $200 million, and then you pushed off $277 million, and the previous year it was $472 million, so that kind of implies a 1% increase? So just trying to understand pricing or fee per return or revenue in general a little better.
William C. Cobb: Yes, Tom, let me take it and then, Greg can maybe help you with the math. I'll tell the theory. It's very hard to just make a blanket statement like that, but churn's down, pricing up. A lot of this is the component of mix comes into play. So this will be the first of probably 14 times I'm going to say this, we are in halftime of the game, there's a lot of season left to go and really, the full picture will emerge once we have completed the season after April 15. But Greg, you want to do some of the math stuff?
Gregory J. Macfarlane: Yes, let me just talk quickly about the return counts. So really, the delta in our perspective is driven really by the Free EZ elimination. And as we mentioned in our prepared remarks, that those are really done at 0 or like minimal to negative value on the bottom line, but on the revenue, it was basically free. So that elimination, a lot of those people have actually are not paying us, so I guess that's the price increase, if you think of it that way, but we just think of it more of just getting rid of the promotional that we've had in the last 3 years. More broadly on pricing, we've outlined to you that we know as an industry, we've got pricing power. That's not lost on us. We go into the season, wanted to be much more strategic in how we handle pricing. We're quite pleased with how we've executed that and we'll be able to talk about that more at the end of the season with you. And also, just closing off this thought with Bill's point, which is mix is a very important part of this conversation, and we have been pleased with our mix thus far in the season.
Thomas Allen - Morgan Stanley, Research Division: Okay. And then going on to pricing, I think a lot of us, and I think you agree that the Affordable Care Act is a big opportunity for you going forward. So just a little curious why you're willing to give up market share now given the level of customer attention ahead of kind of this big opportunity next year and going forward?
William C. Cobb: Yes. I think, obviously, well, the intersection of taxes and health care really come into bear in fiscal '15. I think what we're trying to do is get our system ready to serve the clients that we want to serve. We are very focused on this Tax Plus strategy which is having tax returns and attaching our best-in-class financial services product. So I don't look at it as by giving away our service for free, that we've given up a lot from that.
Thomas Allen - Morgan Stanley, Research Division: Okay. And then just finally, on the bank sale. Great to hear that you still expect to get a deal done by next tax season. But can you just give us an update on how long you think you would take to get a transaction completed to get through all the regulatory requirements and everything?
Gregory J. Macfarlane: Yes. So we remain committed to obviously selling our bank, we remain very much committed to selling world-class management products. Those 2 things aren't changing. We're simply transacting the bank for broader regulatory issues and capital issues related to the additional capital requirements that would be required. And we've been working on this for quite a while, and we actually know a lot about this specific in terms of what we're trying to sell for. As we looked last summer when we made the initial announcement with our previous partner, we'd outlined a timeline that is really announced in July, and we felt comfortable that we'd be able to commercially and operationally get things done at the time felt the regulatory process had enough time to. We had sort of felt that, that would be a mid-October, early November would be really the window that was important for us to hit this tax season. We sit here really halfway through the tax season very much just focused on executing the tax season and running our business. And we continue to believe that getting a solution in place for next tax season is going to happen at this point.
Operator: Your next question comes in the line of Hamzah Mazari.
Anjaneya Singh - Crédit Suisse AG, Research Division: This is Anj Singh dialing in for Hamzah Mazari. I was wondering if you can give us some color, one, on just more if you can be a little bit more explicit on what the attach rates and the metrics looks like on the Emerald Card that you mentioned?
William C. Cobb: Yes, I think we'll be doing that at the end of the tax season. Again, first half of the season is one part of the game. Well, all that data will be coming forward at the end of the tax season.
Gregory J. Macfarlane: I mean, we spent a lot of time in December describing all the progress the team has made on developing features and functions. We've seen double-digit year-over-year improvement in annual users. As we sort of stand halfway through the season, we're very pleased with executing that strategy. I think it will be a good story at the end of the season.
Anjaneya Singh - Crédit Suisse AG, Research Division: Okay. And then the other question, building on the bank sale question earlier, can you comment on what your view is on what the optimum leverage might look on the balance sheet post you being regulated as a bank holding company?
William C. Cobb: Yes. I'll go back to what Greg said, and then, Greg, if you want to comment on this specifically. Right now, we have 2 major priorities in the company, one is to put together a great tax season, and we are hopeful that, that will happen and we feel good about where we're at. And two is to get a transaction done, so that we do execute the goal that Greg outlined earlier that we'll have a bank partner by the -- by tax -- next year's tax season. That's where we're completely focused on. We are having discussions, obviously, about other elements of our business, but we're not prepared at this time to have any announcements around that.
Operator: Your next question comes from the line of Gil Luria.
Gil B. Luria - Wedbush Securities Inc., Research Division: I wanted to ask a little bit about what -- now that we are a few months into Affordable Care Act, some of the new rules attached to it, you've been doing some trials in Phoenix, you've been -- you have an interface online for consumers to go buy health insurance. How happy are you with the results so far? Is -- are the online results better? The physical store presence resonating more with your customers? What's the update on those initiatives?
William C. Cobb: Yes, we're not going to go through specific numbers. Here's what I would say. Obviously, this whole initiative got off to a rocky start. There's now stability at healthcare.gov. I think the White House said today, enrollment will definitely end March 31 next year. We just got word, it's now going to be a 90-day enrollment period between November 15 and February 15. And the reason why I'm starting to answer your question in this way is, this is such a fluid situation. What I'm most pleased about is the fact that we are in the game, we are learning, we are talking to clients, we are seeing what matters, we're trying to reduce confusion. It is still a very hazy initiative for a number of clients. I think this is going to help us. I think we've pointed out in the Analyst Day presentation, there are 46 changes to the tax code associated with this initiative. So by being in the middle of this both for the DIY product and a direct-assisted product, we have learned an awful lot, and that really was the goal for this year. We had signaled that there would be an EPS hit of, I think, it was $0.03 to $0.04, Greg. And that -- really, that was part of the cost of getting the website up to speed, getting the offices in Phoenix ready, and really just being prepared to learn in this business. I don't know if you have anything to add in that, Greg.
Gregory J. Macfarlane: No, just an observation, Gil, to share with you. So we've outlined in December, I think, a fairly detailed explanation of why we think this is an exciting opportunity for the tax preparation industry. And now that we're halfway through the tax season, we have spent a lot of time at our competitors' locations, we've been spending a lot of time looking at the competitive offerings online. And it's our belief that the amount of investment, thought leadership that Block has done is disproportionately large than the entire rest of the industry combined, and that will benefit us as we think about next season. And I guess, I will also say that we've overinvested this year and it's highly likely we'll be over investing next year because we continue to believe this is a good opportunity for Block.
Gil B. Luria - Wedbush Securities Inc., Research Division: How about the ability to charge directly for some of this? The IRS is likely to have a form next year and you charge per form. In Massachusetts, we're hearing that you're now charging for their health care form around the neighborhood of $5. Is that an indication of your ability to charge for this? Should we think of $5 as the price point? Or is there still work to do in terms of what an additional form would be priced next year at the national level?
William C. Cobb: Yes, and again, I think I don't mean to, if you will, sidestep your question, but I think we do have to see the form. And I think the issue is, there are other considerations with regard to Massachusetts as we look at this, we really need to see the form, we really need to see how that 1095s are going to rollout, which is what everybody's going to be getting along with their W-2s next year. So all that intersection, we have to figure out. So I wouldn't make any assumptions on the particular price with regard to as we true-up folks next year and assess the impact of tax penalties on people who chose not to take insurance.
Gregory J. Macfarlane: And relative to that, for what it's worth, Gil, I'll just mention, so we are charging in Massachusetts and frankly, probably should have done it historically, but part of the reason we're doing that is, I mean, we're incurring work and training time and we're doing value for our clients by that. But of course, there's broader lessons that we're trying to learn. But keep in mind that the Massachusetts form made materially different than what we see from the federal government, and that's what Bill is really trying to get at. We have to wait and see.
Operator: Your next question comes the line of Kartik Mehta.
Kartik Mehta - Northcoast Research: I wanted to get your thoughts on the impact so far this tax season, at least through February, because of no Free 1040EZ. Now how much of that 9% would you say is the result of not offering the preparation of 1040EZ?
William C. Cobb: Most of it. We're not going to get in the specifics, but the large, large majority of it is that decision.
Kartik Mehta - Northcoast Research: Any thoughts on how much of it is -- I'm assuming it's weather and the Free 1040EZ, or has some of the weather stuff are -- have been made up by now?
William C. Cobb: Yes. I think the weather stuff and actually, we have a young executive here who actually did a very expensive weather analysis for us, his geospatial work that he did to show the impact of how much snow has impacted literally each of the, I believe, it was 7,100 offices that got hit by snow this year. So we have a very good understanding of what the impact of the weather was. That is obviously starting to abate as the weather hopefully starts to normalize. So I think that weather, obviously, did have an impact. There were days, especially in places like Georgia, where we did 8% of the returns we were supposed to do on that particular day. So I would say that it was, again, a weird start to this season, there was for all retailers in a variety of businesses big impacts from the weather. The great thing about our industry is you have to come file. So I think, and I think we said this in our prepared remarks, everything's starting to normalize now. We've got 40 days and 40 nights left in the tax season, and we're really focused on the big finish here.
Kartik Mehta - Northcoast Research: And then, Bill, you talked about, obviously, pricing is going to -- or revenues are going to be higher than what return count is going to be. Would you anticipate that in the first half pricing will be better than the second half? Or will it be the same throughout the tax season?
William C. Cobb: When you say pricing will be better, I assume you mean will be a higher percentage. Obviously, now charging $39 versus $0 last year, that's a monumental price increase that will appear to be. That's why Greg was talking about earlier the mix element of that by not having -- by not giving away our service for free. That is having an impact. So as we get into the second half where we're overlapping the same pricing on something like EZ, you're certainly going to see that start to normalize. In addition to that, and again, I think it's critical that we continue to focus on what is our core strategy and back to what we talked about in Analyst Day, Tax Plus or our ability to attach these financial services products that we are so proud of, that is a big component of our revenue drive. And while we have not given specific indication, I think Greg and I certainly, speaking for the company, feel very good about the way the field and the digital business has responded to attaching products.
Kartik Mehta - Northcoast Research: And then just one final question, Bill. You talked a little bit about the online business, and I'm just wondering, the share loss you're seeing in the online business, is that strictly because of the pricing initiatives that you talked about, or is there a little bit more to it? Or maybe how you're going about marketing the product this year?
William C. Cobb: Why don't I let Jason take a shot at that.
Jason L. Houseworth: Thanks for your question, Kartik. So as Bill mentioned, we have made some changes in our product that require more complex filers to upgrade, and this has led to a significant portion of what we see is why we trail the industry for an online perspective. But what I want to say is that, I'm really pleased with the results of our product redesign. And as I talked about in December, we're in year 1 of a 2-year redesign. And this year, we're seeing better conversion of our clients and a much better job of driving the growth in our average revenue per user. But I think that you have to consider results from a competitive perspective. And what I see is that we're in maturing digital industry. And my main competitor, Intuit, I have a lot of respect for, frankly, have seen our growth in online segment share the last 3 years, and this season, they appear to be using price as a lever to grow volume. And this is likely because they see parity with us from a product perspective, and it's our viewpoint that this isn't sustainable really in the long run. So with that said, there's a lot of season left, so stay tuned.
Operator: Your next question comes from the line of Scott Schneeberger.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: I'll start with the bank guys. So it sounds like no update yet, it sounds like you're confident you're on the timetable that you've been discussing recently. Some other guidelines you provide us in the past were that you had the ballpark of 5 or 6 final suitors with whom you were looking. The first question is, have you whittled that down? Are you comfortable in saying, yes, you're the final 1 or 2 right now? And then the second bank question is, you are also comfortable telling us not too far back that we should continue to think once a partnership's announced that the dilution would be similar to what it was that over public. Do you still feel that those are comfortable guidelines for us to think about as we move forward?
Gregory J. Macfarlane: Yes, so the message is really the same as we've been talking about. We're confident we're going to get this done. Our goals and motivations remain the same. We have wide and varied interests in doing business with Block. I'm really not going to get too much more specific at that point. But I want to make it clear that even though the message has not changed from your perspective, I don't want that to be misinterpreted. There's been a substantial amount of work in the last 3 months from our side, and we continue to feel very comfortable and confident that this will get resolved for next tax season. Now there's always a regulatory angle here that needs to be considered. We learned a lot from that last time, but we should never ignore the fact that there will be regulator approvals that have to go on here, and that, obviously, we're trying to factor into our decisions here. In terms of the form of the actual arrangement when we arrive at it, we'd be really premature to speculate on it what the actual commercial terms would be. But in terms of the general expectation, Scott, we would say we'd be fairly much in the ballpark of what we did with our previous announcement.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. That's helpful on that. The -- I'm going to shift it over to tax now. Whatever went on our end of the phone is trying to figure out is how at this halftime point are revenues progressing? And Bill, one of your parting -- I think before you turned it over in the prepared remarks to the CFO, you said we are looking to drive, or I don't know if you said, but drive improved top and bottom line result, is that -- are we to take that literally in looking at the full year that you expect improved year-over-year top and bottom line results?
William C. Cobb: I think the answer is yes. I don't know, Greg, if you want to give any more...
Gregory J. Macfarlane: No, I mean, this is very consistent how we've talked about what we believe the opportunity of Block at this industry is you've got core growth every year. In this case, we think it will be 0% to 1% in terms of more returns in the industry. We continue to believe that even for the support in our view from the IRS' release this morning. The second thing is, we know we have pricing power, and that should add another point or two over time, so we sort of believe at Block that getting to 3% to 5% revenue top line is the right starting point for this conversation. That hasn't changed at all here. We, obviously, have come out of several year period where that's not been true, but the trend has been moving in the right direction. We have revenue growth last year for the first time, small growth, but still some growth. And of course, we believe from a fixed cost leverage and focus on expenses and productivity that, that should also have a bigger impact on the bottom line. We've shared with you during today's conversation that we think margins this year, EBITDA margins, will be in line with last year, which will be around 30%.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And just because a bunch of my peers have obviously asked these questions, and in the same way, you obviously don't want to quantify the price impacts or the revenue impact here at halftime. But I think it's implied and what's being discussed, it will be a net positive by year end is what you're continuing to anticipate. Is -- and I think Tom has asked this, but are you comfortable saying within a couple of hundred basis points, your pricing growth is positive relative to the 9% negative? Or maybe even just talking on the total volume number of 5.6%. Is it fairly comparable at this halftime point, a little ahead, a little behind?
Gregory J. Macfarlane: So I want to be really clear here that if anyone is believing that price is up 9%, you're mistaken. I think you're really misunderstanding mix and some other sort of factors that will come in here in terms of attach rate and some of the other international things. So I think you really need to be careful when -- in terms of conclusions there. We're not going to go on record in terms of what the price increase is going to be. We'll talk about that more at the end of the season. But we're happy with how we're executing our pricing strategy this year. I think we'll be in much more nuanced this year, much more thoughtful because we're in this business for the long run.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And Greg, are you making a rate versus yield comment in that response? Obviously, mix is something that helps revenue per customer go up, but you're saying, hey, rate has not increased 9%, but could, in fact, the revenue per return, probably the bottom line and what people look at, could that still be in the same ballpark? I just want to make sure I understand the message.
Gregory J. Macfarlane: So my comments are really focused in on the specific price, the net price or the gross price how you think about it.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And then on marketing, I see that, and I'm just curious if this is a timing issue. It looks like $77 million spent on that line item versus $99 million last year, please correct me if that's correct. But is that you're spending a lot less this year, or is that because of some timing of the third quarter versus the fourth quarter? And a follow-up to that is, how -- are you still -- are you looking to spend the same amount year-over-year? Are you going to get some efficiencies?
Jason L. Houseworth: Yes, I won't get into specific spending plans but what I will say is, when you have a campaign like we have with the impact it's had, with the great reception that it's gotten from consumers, you can get a lot of bang for the buck, and that's what we've gotten this year. It's a fabulous campaign, awareness is extremely high, all our field leaders are calling into our marketing group and saying, people are walking in the door saying, "Give me my piece of the $1 billion back." It's really been very exciting to see. So whatever the -- if Greg wants to comment on any of the numbers, but really, what we need to do as a marketing-driven organization is really make sure that the impact from the messaging that we do is high, and I think we've certainly achieved that this year.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. If I could add 2 more, 1 for Jason. Jason, a comment from -- I guess, it was from Greg mentioning the new reporting format of the digital category and how that's adjusted out for what you believe could have been fraudulent returns. Could you give us the old -- how it would have been reported otherwise? Or just a way for us to think about that as we compare you to some other industry peers. And any thoughts on perhaps, I know it's a stretch, but if others had adjusted their numbers a similar way, I just want to understand apples-to-apples comparison.
Gregory J. Macfarlane: So let me, Scott, if I can, just give you a bit more of a mechanical view, and then Jason can give you some broader thoughts. But I mean, the spirit of this is right, which is we're trying to really give you all the best estimate of how many Americans we help to file their taxes. And I think as time's gone on, we have missed that a little bit in some of the definitions, this change was really in the spirit of fixing that problem. It's really -- and when you kind of do the math and, by the way, afterwards if you want to -- anyone wants to call, they can go through the math with you. But in an absolute sense, the numbers have changed, but relatively speaking, they haven't changed at all. The market share gains that we've reported are basically dead on as they were before. But this, I think, is in the spirit of a much cleaner reporting. We do think it has better comparability and, of course, we're able to also spike out this fraud issue, which is a very real issue. And frankly, would be nice to see if some of our competitors recognize that as well.
Jason L. Houseworth: And, Scott, the 2 things that we really took out specifically were online free returns that were printed instead of e-filed, and returns that were e-filed but rejected by the IRS, and that makes up the approximately 600,000 reduction from the FY '13 digital return counts. And I just want to make one last point which is that there was no revenue associated with any of these returns that were counted.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: All right, guys. That's helpful. One more, Bill, for you, if I could. I know that you've had discussions with folks at the Treasury with regard to if there will be a health care form next year, and you touched upon that a little bit today on what would be delivered with the W-2. But as far as the tax form, do you anticipate there will be -- do you -- is there progress on that? Just an update would be great.
William C. Cobb: Yes, Scott. The only indications we received is that we will see the form, I think, the latest indication we have, this summer. I have certainly indicated in my conversations with the government officials that the sooner you can get that to us, the more I think we can weigh in and give advice. And maybe we'll see -- fresh eyes will see something in that, that has been received. Well -- but we have not -- none of the people in the tax institute or anything have seen the form yet. But we're hopeful that in the next few months, we'll get a peek at it.
Operator: Your next question comes from the line of Michael Millman.
Michael Millman - Millman Research Associates: Following up on some of the -- from many of the questions. Just to make sure, the IRS in counting their online, that's only accepted by the IRS, correct?
William C. Cobb: That's correct, Michael.
Michael Millman - Millman Research Associates: Regarding the billion-dollar marketing campaign, can you give us some ideas how -- what impact that's had? I guess, quantify the impact and the source?
William C. Cobb: Well, again, I think I said this, what we track is we track consumer reaction to all the ads we do. Overall, the core message, which we've obviously been very focused on and zeroed in on, for -- this was, I think, 4 weeks into the campaign, it might have been 5 weeks, but we had 3 quarters of all Americans could recite the line. It's part of the consumer vernacular right now. And 90% of the people associated with Block, which for our marketers, sometimes you have a message and you don't know what brand it is. So we've been able to hit on both dimensions which is very exciting for us.
Michael Millman - Millman Research Associates: I think I should ask this a little differently. In terms of those coming in who cite the promotion, were they coming from do-it-yourself and coming to assisted? Were they coming from other places? Or were they Block clients who said, boy, I saw this, it was great?
William C. Cobb: Yes, we don't disclose source of volume. But what I would say is, it's coming from all places in terms of the way this campaign has caught the imagination of America.
Michael Millman - Millman Research Associates: In connection with, I guess, with the online, the assumption was that this was aimed to be online. And yes, you discussed it -- discussed the numbers, but it just seems that the IRS is 7.5% day-to-day is so much bigger than the number you cite, I guess, on a date-to-date as well. Is there some loss of share in there?
Gregory J. Macfarlane: Sorry, can you just be clear what the question is, Michael, please?
Michael Millman - Millman Research Associates: So the IRS number today that was -- self-prepared up 7.5%, and you indicated that you dropped some of nonprofitable business. I was just trying to sort of reconcile numbers, if they're comparable and you reconcile, or if you're gaining share or losing share?
Jason L. Houseworth: I'll just point back to Bill's comments as far as our strategy to really go -- to do 2 things this season. One is to look at more complex and high-value clients from a digital perspective and how do we attract those, and then the other to look at our large number of historically free clients and determine how can we create more value. And as he noted and how I also noted in my earlier comment, this decision has led to a significant portion of the delta that you mentioned.
Michael Millman - Millman Research Associates: Okay. Moving on, the -- you indicated a 3% to 5% revenue growth over the long term. If it's not been there, could we expect over the next several years better than 3% to 5% to get -- to average it out?
Gregory J. Macfarlane: So the 3% of 5% that I outlined earlier doesn't include the ability to take market share, it doesn't include the ability to attach and grow financial services products. As you all know also, our international business is growing at a faster rate. But at this point, let's just get to 3% to 5%, and then we'll talk about what's beyond that.
William C. Cobb: Yes, and this is consistent with what Greg laid out at the Investor Day. This is, as he puts it, what we should expect over the long term, and we're certainly not talking about anything specifically about this year. We'll play the season out and then we'll be reporting to you post-season.
Operator: And at this time, there are no further questions.
Colby R. Brown: Okay. Thank you, Alea. And we'd like just to thank everyone once again for joining us, and we can conclude the call.
Operator: Thank you, ladies and gentlemen, for participating in today's conference call. You may now disconnect at this time.